Operator: Good day, and welcome to the Duke Energy first quarter earnings call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Bill Currens. Please go ahead, sir.
Bill Currens: Thank you, operator. Good morning, everyone and welcome to Duke Energy’s first quarter 2013 earnings review. Leading our discussion today are Jim Rogers, Chairman, President and Chief Executive Officer; and Lynn Good, Executive Vice President and Chief Financial Officer. Today’s discussion will include forward-looking information and the use of non-GAAP financial measures. Slide 2 presents the Safe Harbor statement, which accompanies our presentation materials. You should also refer to the information on our 2012 10-K and other SEC filings concerning factors that could cause future results to differ from this forward-looking information. A reconciliation of non-GAAP financial measures can be found on our website at www.duke-energy.com and in today’s materials. Please note that the appendix to today’s presentation includes supplemental information and additional disclosures to help you analyze Duke Energy’s performance. In addition to our normal disclosures, we have included additional information on our regulated wholesale business as well as updated estimated earnings base figures by jurisdiction through 2015. In today’s call as Jim and Lynn will review our first quarter highlights and briefly update you on our near term priorities, including our recent regulatory activities. Additionally, we will discuss trends in our customer usage patterns as well as the economic conditions in each of our service territories. Finally, we will review our quarterly earnings consideration for 2013 as well as our overall financial objectives. After their prepared comments, Jim and Lynn will take your questions. Now let me turn it over to Jim.
Jim Rogers: Thanks, Bill. It is good to have you all on the call today. We are now 10 months into the merger with Progress Energy, and I am very pleased with how we are executing our plans. Our first quarter performance built on our momentum in 2012. For the first quarter, we announced adjusted diluted earnings per share of $1.02, compared with $1.13 for the same quarter a year ago. Even though below last year, our quarterly earnings are on plan. As a result, we are on track to achieve, and today are affirming out 2013 earnings guidance range of $4.20 to $4.45. Lynn will provide more details on the first quarter earnings drivers for each of our segments. Also, she will provide our perspective on the quarterly variability in earnings this year. During the quarter, our operational performance was strong, as highlighted by our nuclear fleet. Slide five should be familiar to you. We’ve used it since last summer to show our near term priorities and progress in resolving them. As you can see, we have checked off several important items. Now we are focused on placing Edwardsport into commercial service and obtaining construction rate case outcomes. We have requested more than $1 billion of annual retail rate relief in the Carolinas and Ohio. I will discuss both Edwardsport and the rate cases in a moment. We also remain focused on our longer term priorities. One, fully integrating the merged companies while achieving the targeted savings for customers and investors, and two, optimizing nuclear fleet performance. Our integration efforts are producing results, and we’re clearly on track to achieve the merger synergies we expected. During the first quarter, we had achieved $37 million in fuel and joint dispatch savings from our Carolinas fleet. That was in addition to the $52 million in the first six months of the merger. We’re also making good progress on other integration efforts, and are achieving labor reductions and other non-fuel O&M savings. In fact, about 30% of our merger integration initiatives have been completed. The other initiatives are either on schedule or ahead of schedule. As for our nuclear plants, [Dhiaa] and his team continue deploying the nuclear operating model across the entire fleet, which includes 11 units in the Carolinas. We’re seeing very positive results as measured by our 17 nuclear performance metrics. Most importantly, our nuclear fleet capacity factor for the quarter exceeded 97%. Now, turning to slide six, I want to update you on the regulatory proceedings regarding our Crystal River nuclear unit in Florida. This plant has been safely shut down since late 2009. We decided earlier this year to retire the plant rather than attempt a complex, first-of-a-kind repair. We are finalizing a comprehensive decommissioning plan, and will file it with the NRC. As you all know, we selected the safe store method. The transition organization is fully staffed. Over the next few months, full time staffing will be significantly reduced from the 600 previously on site. Late last year, we entered into a nonbinding mediation with NEIL, our insurance provider, to resolve all outstanding claims related to the Crystal River 3 unit. In February, both the company and NEIL accepted the mediators proposal, whereby NEIL would pay the company an additional $530 million to resolve all outstanding insurance claims related to the plant. We received the $530 million last month, and these proceeds benefit our Florida customers. We believe that both decisions were in the best overall interest of our customers, joint owners, and investors. The settlement agreement approved by the Florida Commission last year gave us the sole discretion and flexibility to retire this plant. The commission is working with the parties and the proceedings to finalize the issues that the commission will review. We expect the commission to complete this shortly. Oral arguments before the pre-hearing officer were held earlier this week, and a scheduling order has been issued which sets hearings for October. Before moving to the rate cases, let me give you a brief update on our new nuclear development activities. Yesterday, we announced our decision to suspend our plan for two proposed new nuclear units at our Harris plant site in North Carolina. We continue to pursue combined operating and construction licenses for our proposed Lee nuclear station in South Carolina and the Lee nuclear station in Florida. Related to the Harris license applications, we have spent about $70 million to date. We plan to seek recovery of the retail allocation of these costs from the North Carolina and South Carolina utility commissions. Next, starting with slide seven, I will update you on our rate activities in the Carolinas. Duke Energy Progress filed a general rate case in North Carolina last fall. We reached a settlement agreement with the North Carolina Public Staff in February. Under the terms of the settlement, the return on equity would be 10.2%, with a 53% equity component of the cap structure. The terms are subject to North Carolina commission approval. Parties to the agreement have agreed to delay cash collection, a financing cost on [quip] for the Sutton natural gas plant for one year. Upon commission approval, the immediate increase to customers would be $151 million. There would be another $31 million in year two, upon inclusion of Sutton in customer rates. This settlement provides a fair and balanced outcome for the commission to consider. We have completed our hearings before the commission, and expect a decision in time for the new rates to be effective in June. In addition, Duke Energy Carolinas has filed rate cases in both North Carolina and South Carolina as outlined on slide eight. We are requesting an annual retail revenue increase of $446 million in North Carolina and $220 million in South Carolina. In each case, we are seeking a return on equity of 11.25%. These rate cases are needed to recover the investments we have made to modernize our system. For example, Cliffside Unit 6 and the Dan River natural gas plant, both put into service in late 2012, and both preapproved by the commissions. The evidentiary hearings on the North Carolina case begins July 8, while the Southern California hearing begins July 31. We expect rates to be effective for South Carolina in September. We have also requested a September effective date for revised rates in North Carolina. Before moving to the Ohio rate cases, I want to mention a recent decision by the North Carolina Supreme Court. The court remanded the Duke Energy Carolinas 2012 rate case decision to the North Carolina utilities commission. As you all will recall, in early 2012 the commission approved revised customer rates based on a settlement agreement with the Public Staff and a 10.5% return on equity. The North Carolina Attorney General appealed the decision to the State Supreme Court. The Supreme Court has required the commission to make an independent determination regarding the proper ROE. This past Monday, the Attorney General filed a motion with the commission requesting that the rate increase approved in 2012 be reversed until the commission issues its ROE decision. We oppose this motion. We continue to believe that the settlement agreement approved by the commission is fair and balanced. Next, let’s turn to Ohio regulatory activity starting on slide nine, with our two distribution rate cases, one for electric service and the other for natural gas. Early last month, we reached agreements with all intervening parties in both cases. Under the settlement terms, the net annualized revenue increase for electric distribution would be $49 million. There would be no adjustment for natural gas distribution. Parties to the settlement in the gas case agreed to litigate the recovery of costs associated with the remediation of the old manufactured gas plant sites. We are seeking annual recovery of $22 million over three years. The Ohio commission approved the electric case stipulation earlier this week, and we expect revised rates will be in effect later this month. It will most likely be later in the summer before we receive the gas order. Next, I’ll update you on our Cost-Based Capacity filing in Ohio, as outlined on slide 10. We filed the $728 million request last August. We’re seeking appropriate compensation for our capacity service. This filing does not seek to alter the electric security plan, under which Duke Energy Ohio now operates. Hearings began in April. We presented a strong case, and interveners made arguments consistent with their previous filings. Rebuttal hearings will resume later in May. The legal basis under which this request was filed remains strong. The filing is consistent with a new cost-based compensation mechanism adopted for fixed resource requirement entities in Ohio. Once hearings are completed, we will await a commission decision. The decision will inform our long term strategic plans for our Midwest generation fleet. Turning to slide 11, we continue to advance our fleet modernization program, $9 billion of investments adding 6,600 megawatts of natural gas and coal-fired generating capacity. This program gives us the ability to retire up 6,800 megawatts of our older, less efficient, high emitting coal plants and our oil-fired units. This will give us a high level of fuel diversity, which will benefit customers by giving us flexibility to adapt to future changes in commodity prices. In 2012, we brought three new plants online, a combination of natural gas and coal-fired units, and we’re on track to bring our remaining two construction projects, Edwardsport and Sutton, into service in 2013. Let me provide you an update on the Edwardsport IGCC coal plant in Indiana. As you all remember, we completed the construction in 2012. We’re now in the final process of completing the testing needed before we begin to bring the 618 megawatt plant into service and deem it operational. Both [gas-fires] have successfully produced syngas from coal, and we produce electricity from both turbines using syngas, natural gas, and a blend of both. We’re on track to put Edwardsport into commercial service later this month. This will be a major milestone. As with any new large plant, additional testing, completion of punch list items, and project closeout activities will continue for several months past the commercial operating date. Edwardsport will be a very important addition to our generation fleet in Indiana. The other major construction project is Sutton, a combined cycle natural gas plant we’re building in eastern North Carolina. We expect to place the 625 megawatt Sutton plant into commercial service during the fourth quarter. It represents the latest step in modernizing and adding more natural gas diversification in the Carolinas. In summary, we are very pleased with our performance in the first quarter, and are focused on resolving near term priorities. The organization has quickly pulled together as one team. We continue to drive efficiencies that benefit customers and investors. We’re making the most of the unique strength this merger has created. Our performance in the quarter leaves us well-positioned to meet our 2013 earnings and operational objectives. Now, Lynn will provide a more detailed look at our financial performance in the quarter, including a customer load and economic update.
Lynn Good: Thank you, Jim. I’d like to begin by saying how pleased I am with our first quarter results. Slide 12 provides our earnings summary. As you know, first quarter 2013 adjusted diluted earnings were $1.02 per share. These results were on track with our expectations for the quarter, although lower than our first quarter 2012 results of $1.13 per share. On a reported basis, our earnings for the quarter were $0.89 per share compared to $0.66 per share last year. A reconciliation of our reported results to our adjusted results is included in the supplemental materials. Today I will focus my remarks on the significant adjusted earnings drivers for each of our business segments for the first quarter. I’ll spend a few minutes on our volume trends and the economic conditions within our service territories. I will then discuss the timing of several key earnings drivers that you should consider as you assess our quarterly earnings for the remainder of the year. And I will close with our financial objectives going forward. First, let’s briefly discuss the primary adjusted earnings per share drivers for each of our business segments. Adjusted earnings at our regulated business, U.S. franchise electric and gas, increased by $0.44 per share. U.S. FE&G’s increased results was primarily driven by the addition of Progress Energy’s regulated utility operations in the Carolinas and Florida, which contributed $0.35 per share in the quarter. More favorable weather of $0.10 per share was also a significant driver for the quarter. As you might recall, first quarter 2012 was extremely mild, with the Carolinas heating degree days at their lowest level on record for a first quarter. Weather during the first quarter of 2013 was favorable to normal by $0.02 per share. Colder than normal weather in March more than offset the mild weather in January. During the quarter, pricing and riders were favorable by $0.03 per share. This increase was primarily due to the timing of revised rates associated with our prior rate cases in the Carolinas. As a result of these rate cases going into effect in February of 2012, we recognized an additional month of revised rates during this year’s quarter. Finally, additional wholesale revenues increased earnings by about $0.02 per share for the quarter. As we discussed at our analyst day in late February, the wholesale business involves the short term and long term contracts to provide power to municipalities and co-ops within our service territories. We expect the wholesale business will contribute pre-tax net margins of $1 billion in 2013. This power is sold under various pricing mechanisms such as formula rates and fixed capacity contracts with price escalators. We have several new wholesale contracts that began in 2013. These contracts will grow over time as the volumes sold increase over the contract term. The terms of these new contracts are long term, between 15 to 20 years. As we look forward, we expect our wholesale business to add an incremental $0.07 to $0.08 annually to earnings in 2014 and 2015, resulting in an average growth rate of 8% for this business. Partially offsetting these favorable drivers for FE&G was a decline and allowance for funds used during construction equity of $0.02 per share resulting from the completion of several major construction projects in 2012 such as Cliffside and Dan River. As expected, this decline in AFUDC also contributed to a higher effective tax rate. This higher tax rate decreased earnings by $0.02 per share. Next, I’ll address International Energy’s results, which, as expected, were $0.06 lower than the prior year quarter. International’s results were impacted by lower volumes and higher purchased power costs due to delay and rainfall in Brazil, as well as FX and lower commodity prices at National Methanol. Let me provide you an update on the rainfall conditions in Brazil. As we entered 2013, reservoir levels in Brazil were unusually low due to a delay in the rainy season. Since our analyst day in February, rainfall has been stronger. This has resulted in reservoir levels increasing from around 30% at the beginning of the year to around 60% currently. Even though this is a significant improvement, these levels are still below historic averages for this time of year. Due to the lower reservoir levels, higher cost thermal power is being allocated to cover the demand, resulting in a higher exposure to cost for hydro-generators, including our Brazilian operations. We will continue to monitor the reservoir levels and keep you updated as the year progresses. Next, moving to our commercial power segment, results were $0.03 lower in the first quarter as compared to the prior year. This decline was primarily due to lower PJM capacity revenues for our Midwest generation fleet. Prices declined from $110 per megawatt day in the prior year quarter to $16 per megawatt day in the first quarter of 2013. And finally, let me discuss other. This category primarily includes corporate interest expense not allocated to the business units, results from Duke Energy’s captive insurance company, other investments, and quarterly income tax levelization adjustments. We recorded higher interest expense of $0.04 associated with the Progress Energy holding company debt and $0.02 per share associated with higher debt levels at Duke Energy holding company. We also recognized dilution of $0.41 per share for the quarter, resulting from the issuance of additional shares in connection with the Progress merger. As you know, we issued around 258 million shares after the completion of the merger. We now have around 705 million shares outstanding. Turning to slide 13, I’ll spend a few minutes on our volume trends for the quarter and the economic conditions within our service territories. As a reminder, it’s important to note that 2012 was a leap year. Our 2013 guidance assumes weather-normalized retail load growth of around 0.5%. For the first quarter, our retail volumes, excluding the impacts of weather, were down 0.5% to the prior period across all customer classes. However, if the prior year leap year effect is excluded, our first quarter volumes would have been favorable by approximately 0.5%, which is consistent with our annual expectations. Let me briefly discuss some of the trends we are seeing in each of our customer classes. First, our residential customers. Usage per customer for this class continues to trend slightly lower. We continue to experience growth in the average number of customers, primarily in the Carolinas, Indiana, and Florida. Since last year, we’ve added approximately 50,000 new electric customers, an average increase of 0.7%. Trends in this customer class will continue to track the recovery in the housing markets as well as the general economy. Excluding the leap year effect, our commercial class remains on a slow and steady growth path. Usage per customer in this sector is relatively flat, while growth in consumer spending and retail sales remain modest. Office vacancy rates remain consistent, and above historical norms. In the industrial sector in the Carolinas, we continue to experience strength in the automotive sector, which has helped to offset the continued decline in the textile industry. In the Midwest, the automotive sector is also strong, but has been offset by recent weakness in the steel industry due to volatile steel prices and global economic uncertainties. As you will recall, industrial activity comprises a very small percentage of our customer load in Florida. Overall, the economy continues to perform in line with our expectations and is recovering at a slow and steady pace. We expect economic activity to pick up in the second half of the year. Our service territories remain attractive for economic development activities. As an example, MetLife, the global life insurance and employee benefits provider, announced in March that it intends to create 2,600 jobs in Charlotte and Cary, North Carolina by the end of 2015. And just a few weeks ago, Google announced it is expanding its data center site in western North Carolina, making an additional $600 million investment to the area. These announcements have resulted in new investments and jobs in our service territories. Now I’d like to discuss several earnings considerations for this year. As you are aware, the midpoint of our 2013 earnings guidance range of $4.20 to $4.45 is reasonably consistent with our adjusted EPS of $4.32 in 2012. Even though the annual earnings per share are expected to be reasonably consistent, the quarterly contributions in 2013 will differ from 2012. We expect a relatively weaker first half in 2013 compared to 2012 and a relatively stronger second half. This variability is being driven by a few key drivers, which are outlined on slide 14. First, the timing of rate case resolutions. We expect to begin recognizing the benefits from our pending rate cases in the third and fourth quarters upon approval from our commission. Our second key driver is the timing of recognizing O&M expenses and merger savings. We expect to experience more significant merger synergies in the back half of the year as these savings ramp up over time. Third, the impact of the issuance of incremental shares in connection with the Progress Energy merger. As I mentioned a moment ago, we will have significantly higher share counts in the first half of 2013 compared to 2012. Even though the additional share counts are evenly distributed throughout the year, the offsetting earnings contributions from the Progress utilities are not. The first half of the year normally contributes lower earnings than the second half due to seasonality. The fourth key driver is significantly lower PJM capacity revenues for our non-regulated Midwest generation fleet. As I previously mentioned, in the June 2012 to May 2013 PJM auctions, the capacity price declined sharply to $16 per megawatt day from the previous price of $110 per megawatt day. Overall, our first quarter results are on track with our plan and give us confidence in our ability to deliver on our full year 2013 EPS guidance range. In closing, we are affirming the guidance range of $4.20 to $4.45 for 2013 based upon adjusted diluted earnings per share. Results for the full year will be largely department on the successful resolution of our pending major rate requests, effective cost controls, and our results in the third quarter, historically our most significant. We continue to focus on growing the dividend, which is central to our investor value proposition. We are committed to a payout ratio of 65% of 70% based upon adjusted diluted earnings per share. Our current dividend yield of 4.1% remains attractive in the ongoing low interest rate environment, and we remain confident we are on track to achieve our short term and long term financial objectives. Now I’ll turn it back over to Jim.
Jim Rogers: Thanks, Lynn. With that, let’s open up the phone lines for your questions.
Operator: [Operator instructions.] We’ll take our first question from Greg Gordon with ISI Group.
Greg Gordon - ISI Group: Can you give us an update of where you stand in terms of your CEO search, and whether you can give us any view on whether we get visibility on that at the front end of the period that’s stipulated in the settlement, or towards the end of the year?
Jim Rogers : The CEO selection process is being led by a special committee of the board. The committee is working with an outside advisor to support this process in applying a great deal of rigor and due diligence. Of all the decisions a board can make, the most important decision is the selection of the CEO. They are looking at both internal candidates as well as external candidates. The process is ongoing. They are being very thoughtful, deliberative, and are working their way through this. And it’s difficult at this time to predict whether a decision will actually be made. But in every event, it will be made before the end of this year.
Greg Gordon - ISI Group : It’s been fairly often the case that you’ve been able to settle cases in North Carolina. I can’t remember a situation where the ROE has been challenged in court and remanded in this fashion. Is there any precedent for this type of scenario, and can we look at that precedent, if there is any, into how the commission might respond?
Jim Rogers : As a general rule, the Supreme Court defers to the judgment of the state commission. I think what’s important to appreciate about the remand to the state commission is this: They didn’t strike down the 10.5% ROE. What they simply did was ask the commission to explain in detail the basis of their approval of the settlement and specifically the underlying basis for the 10.5%. There’s ample evidence in the record, and what is expected from the commission, and at least what we expect from the commission, is that they will review the evidence that was presented, and they will write an order that underpins the 10.5%.
Operator: And next we’ll go to Dan Eggers with Credit Suisse.
Dan Eggers - Credit Suisse: Just following up on Greg’s question on the North Carolina situation. Does that potentially have any bearing on how the progress settlement is put together when it gets presented ultimately to the commission? Or does it prospectively slow down the Duke case in the sense of maybe you need to build a bigger, more broad docket in order to avoid a debate in the future?
Jim Rogers : Good question. I would address it this way. When we file for a rate case, we file with a lot of testimony that really supports the ROE request that we’re making. As a consequence of that, when we enter into a settlement, as we have in the Progress Energy case, basically that 10.2% is underpinned with testimony and we will file additional testimony when there’s a hearing on the settlement. So I think the most important point here is that one doesn’t change the historic practice in the Carolinas of reaching settlements and presenting settlements to the commission. What the court has really done is ask the commission to explain in much greater detail why they approved the settlement, and specifically why they approved the ROE. So I think it’s really a message to the commission to address, based on record evidence, why they made their decision in more detail.
Dan Eggers - Credit Suisse : On the Ohio capacity case situation, obviously the other parties have pretty staunchly maintained their position, and you guys have maintained yours. Is there an opportunity for you guys to look at a settlement or find a common ground on this issue, or is this one that’s going to have to go to a commission decision and prospectively litigation to get to a fair outcome, from your perspective?
Jim Rogers : You know, Dan, my judgment is we’ve always reached settlements in Ohio, but this one is difficult if not impossible to reach a settlement. I don’t rule out the possibility of a settlement later in the process, but I think it’s where everybody’s kind of strapped on their position and going full speed before the commission to make the argument. The argument is a strong argument, and if I put my—I haven’t practiced law in a long time—but if I put my hat on as a lawyer, this case is a very strong case for us, because this capacity charge has been approved for AEP and the consequence of it, the commission can’t discriminate against one company versus another company in the application of their rulings. And so we’re clearly going to win in the Supreme Court. I believe we can win, and there seems to be evidence, or an indication, that we could win at the commission.
Dan Eggers - Credit Suisse : And then Lynn, just one question on commercial power. You know, after the first quarter was kind of off the full year rate and capacity’s going to work [unintelligible] in the second half, what should we be thinking about this? Kind of help fill in against guidance where you guys have it today.
Lynn Good: Dan, we do have an assumption of some success in Ohio in our guidance, and I think as we shared with you in February, you should look at the broad guidance range of $4.20 to $4.45. We’ve assumed a range of outcomes. And so as we move through this process and get some more clarity on Ohio, I think we’ll be able to give you more sense of how commercial will contribute, as well as how the other parts of the business will contribute.
Operator: And next we’ll go to Stephen Byrd with Morgan Stanley.
Stephen Byrd - Morgan Stanley: I wanted to touch on your disclosure on wholesale revenues and Lynn, you provided some discussion of that business. Can you talk a bit to execution risk relating to that and the certainty of being able to achieve that. It looks like good EPS contribution, 8% growth. Can you just talk a little bit about where you stand? You mentioned a few contracts, but I couldn’t kind of relate that back to the overall number.
Lynn Good: We have a high degree of confidence in our ability to achieve those numbers and that growth rate, because the contracts have been signed and are in place. So the two that we pointed two was a wrapped contract or an extended contract with NCEMC in the eastern part of our Carolina territory, and then a contract that we announced really back in 2010 involving co-ops in the northern part of South Carolina, a contract that will ramp up over a period of time, over the next several years. So the contracts are in place, and we believe that we have a high degree of confidence in achieving those numbers.
Stephen Byrd - Morgan Stanley : And then just on the financial side of things, your interest expense year to date and your overall assumptions, just curious, as you are looking at your financing plan relative to where you initially set your assumptions, are things generally tracking online, or are rates coming in lower? How are you sort of tracking in terms of your financing costs?
Lynn Good: Generally tracking online, and we have, in the appendix, our expectation for additional financing over the course of the year. We do have a number of issuances that we’ll plan in the back half of the year.
Operator: And we’ll go next to Jonathan Arnold with Deutsche Bank.
Jonathan Arnold - Deutsche Bank: A quick on on Brazil. What would be a good assumption for a run rate headwind if the current curtailments continue through the year? We’ve heard some talk that they might want to really build a buffer ahead of the World Cup next year, etc. So if things don’t improve, is Q1 a guide to future quarters?
Lynn Good: That’s a good question. As we looked at planning for Brazil and for international, what was delivered this first quarter was actually consistent with our plan. So we were expecting this level of contribution. We do see some expectation of higher than average dispatch on thermal generation for the balance of 2013, but we would not expect it to have the impact that it had in the first quarter. But what I would also say is this is a situation that we’re continuing to monitor, and we’ll give you an update as the year progresses.
Jonathan Arnold - Deutsche Bank : And on another front, can you give us a little more insight into what’s still showing up in the cost to achieve line. And what kind of timeframe should we expect that to fade?
Lynn Good: Cost to achieve will be with us for a few years, primarily related to integration of systems, and also costs, if we continue to move through the exiting of employees who are leaving under the voluntary severance plan. So a couple of examples would be HR and finance systems will not be in effect until early ’14. Nuclear asset suite, where we’re combining systems in the nuclear operation and work management systems, those projects will continue into ’14, ’15, and ’16. So they will tail off over time, but we will continue to have cost to achieve for a couple of years.
Jonathan Arnold - Deutsche Bank : And this sort of Q1 level is probably where we are for the next year or two?
Lynn Good: I haven’t looked at it from a run rate perspective. So let us take that one, Jonathan, and the IR team will be prepared to respond and give you some more input on that.
Operator: We’ll take our next question from Michael Lapides with Goldman Sachs.
Michael Lapides - Goldman Sachs: Can you talk a little bit about Crystal River, and specifically decommissioning costs and the decommissioning fund, meaning what are the variables that could significantly change the expected decommissioning cost of the plans, where does the fund stand in terms of meeting the decommissioning cost for the plant, and how do you manage the risk around the cost variability of decommissioning, meaning are there ways you can shelter Duke from cost escalation in the decommissioning of Crystal River over time?
Lynn Good: I’ll start and see if we can resolve… Dhiaa’s also here for further discussion on the specifics of the decommissioning plan. But we have $600 million in the decommissioning trust fund, which is a fully funded level, assuming that the plant retires in the 2030 timeframe. Under the safe store method that we’ve adopted, we have 40 to 50 years to move through decommissioning of this plant. And so we believe our funding level is adequate. We’ll be monitoring it as we go, and you ought to think about it as almost equivalent to the way we manage liabilities in a pension fund, where we have investments, with equity and fixed income that we match to an expectation of liabilities. And we run scenarios and assumptions on cost as well as scenarios and assumptions on investment of assets to ensure that we’re adequately funded.
Dhiaa Jamil: From a plant point of view, there is a process that we will follow to produce a cost estimate for decommissioning. We have to file with the NRC a report that is called the “Post-Shutdown Decommissioning Activity Report” and have to outline in that report our estimates, a site-specific cost estimate. We are due to submit that in November of this year, and 90 days after that, that is considered approval of that report. We’ll be able to give you significantly more details about the scope of that work. Primarily, systems have already been drained down because the plant has been shut down for quite a while. So we’re a good bit ahead on those activities. Basically we’ll just stop maintenance on those systems, other than those that are associated with the spent fuel and related support systems. That will dictate the vast majority of the plan going forward.
Michael Lapides - Goldman Sachs : What are the biggest cost buckets, or cost areas, in terms of decommissioning a nuclear facility like CR3? I’m just trying to think about some of the variable, very big picture, broad brush, that could change your forecast decommissioning costs higher or lower when you put out that report in November.
Dhiaa Jamil:
Operator: We’ll go next to Steven Fleishman with Wolfe Research.
Steven Fleishman - Wolfe Research: In the context of past success, I think you guys have beaten consensus quarters for three or four years in a row, every quarter, and didn’t do it this time. Did you hit your internal numbers and just consensus was too high? Or did you not hit your internal numbers?
Lynn Good: We’re on plan, internal numbers, so we did hit plan. And what we were trying to demonstrate with slide 14 is sort of the quarterly variability that you can expect as you look at comparables between ’12 and ’13. So we have a high degree of confidence that we’re going to finish the year consistent with our expectations. So that’s where we are.
Steven Fleishman - Wolfe Research : And then a follow up on the wholesale sales and the slide. The $0.07 to $0.08 is both in ’14 and then incrementally in ’15?
Lynn Good: It is.
Steven Fleishman - Wolfe Research : And is that matching up with rate-based growth in wholesale as well? So when you have wholesale on the slide, is it matching there? Or is it more just tied to contracted price increases?
Lynn Good: It’s load. You can think of it as additional load, where we are bringing on additional megawatts of load in those years.
Steven Fleishman - Wolfe Research : And is there any offset in retail, i.e. less retail sales, or less wholesale full retail benefit?
Lynn Good: No.
Operator: We’ll take our next question from Hugh Wynne with Sanford Bernstein.
Hugh Wynne - Sanford Bernstein: My question is on page 19, 2013 earnings guidance assumptions. I’m looking at commercial power and the assumption of $95 million of earnings in 2013 relative to the $6 million earned in the first quarter. And I think that reflects the expectation of an award of capacity revenues by the PUCO, if I’m not incorrect. What should we expect regarding the underlying earnings power of that fleet in the absence of an award of capacity revenues this year? Will it resemble what we saw in the first quarter, the expected material improvement in the subsequent three quarters?
Lynn Good: The other major driver in that segment is capacity prices. So $16 through May of this year. It will go up to $28 in the back half. And then you have energy for the coal and gas fleet, and we’ve seen trends comparable to others in the Midwest. We’re seeing a little bit more coal generation, a little les gas generation, as prices have risen. So those are the other drivers to think about.
Hugh Wynne - Sanford Bernstein : And on 23, you provide an analysis of your weather-normalized generation, or power sales, over the last 12 months, and on the right hand column, you can see it’s been broadly flat. Is this a trend you expect to continue? Or are there reasons to believe that the last 12 months were somehow different from what we’ll see in the year, two years ahead?
Lynn Good: If you look back at rolling 12 months to the end of 12, we were at 0.6%. If we were to do leap year adjustment on this rolling 12 months, it would be 0.3% overall growth, and we’re projecting 0.5%. So we feel like we’re reasonably consistent or in the range with our expectations. We think they’re cautious, and as we have done every quarter, we’ll just continue to update you on developments that we see. We’re seeing strength in customer growth, we’re seeing some strength in automotive in our industrial segment, and then some weaknesses in primary metals that I referenced a moment ago.
Operator: We’ll take our next question from Julian Dumoulin-Smith with UBS.
Julian Dumoulin-Smith - UBS: Following a little bit up on the North Carolina situation, I wanted to get a little bit more clarity here, because there’s just so many different pending filings, including the Supreme Court remand regarding ROE. I’d be curious, is there any potential for all of these ROEs to kind of be resolved at once, shall we say? Obviously there’s a certain timeline here which the NCU needs to address the remand, but they have other rate cases in front of them. Is there any ability to kind of deal with it at once, or would your expectation be we’ll get an updated ROE for a certain period of time and then we’ll have a new ROE effective whenever the subsequent case comes into effect? Just trying to get a sense of the ability to interject new testimony into the ROE, and secondly the timeline.
Jim Rogers : My judgment is that there’s adequate testimony underpinning the 10.5% ROE in the Duke Energy case that was remanded back. I think what the commission will do, particularly in light of the motion by the attorney general, they’re probably all right going to work to write an order that really underpins the 10.5%. So I think they’ll do it seriatum, and that will be first. I think the second thing that they will focus on is the settlement of PEC, with a 10.2, and that order will probably come on the heels of that. And then subsequently, with the new Duke Energy case, that will probably be working on resolving that through settlement over the coming weeks and months, and that will be third in line. That will be my view of how that unfolds.
Julian Dumoulin-Smith - UBS : And each will continue to have a discretely separate process for setting that ROE?
Jim Rogers : I’m confident that’s the way it will work. Because it makes sense, and it’s consistent with the traditional practice and procedure of the commission.
Julian Dumoulin-Smith - UBS : Going back to the international business for a second here, obviously there have been some acquisitions. Chile, there’s been some commentary around Peru. What is the thought process, as we sit here today, around expanding the business given the cash balance? Is this a year for more expansive deployment of that balance?
Lynn Good: We continue to look for opportunities to grow the business that are consistent with our return expectations. The countries we like, generation is kind of the part of the system we’re interested in. And I would say our aspirations this year are no different than they are any year. If we find an asset that fits with us and meets return expectations, we would pursue it. And we have been systematically, over the last five years, adding, in a moderate way, assets that are complementary to our portfolio.
Julian Dumoulin-Smith - UBS : Any particular market as it stands today that you’re focused on?
Lynn Good: Well, we were focused on Chile in ’12.
Operator: We’ll take our next question from Andy Bischof with Morningstar.
Andy Bischof - Morningstar: I was wondering if you could just comment on the level of switching from gas back to coal in your generation portfolio. A couple of your peers have posted pretty dramatic shifts in their generation mix compared to 2012.
Lynn Good: What I would say is in our Midwestern fleet we’ve seen an increase in coal generation and a decrease in gas generation really consistent with the fact that those coal assets are positioned very favorably for transport. In the Carolinas, we haven’t seen what I would call switching, but we have seen higher capacity factors of our coal plants, in our Duke Carolinas territory. Transportation, as you know, in the Carolinas, is a bit more expensive, and the price at which gas is advantaged to coal is a bit higher.
Andy Bischof - Morningstar : And what is that price in the Carolinas?
Lynn Good: I would say probably $4.50ish?
Jim Rogers : And I think that’s the price, Lynn, that once gas gets to $4.50, then we turn on the Cliffside plant, because it’s our most efficient coal plant.
Operator: And we’ll take our last question from Ali Agha with SunTrust.
Ali Agha - SunTrust: I wanted to get a little more insight. On one of your slides, you talk about an EPS growth of 4% to 6%. That’s the aspiration from ’13 through ’15. And you look at your commercial power unit, a cyclically low point here because of the capacity payments. International, you’ve talked about the fact that the hydro situation is hurting you right now. We have that wholesale growth coming up next couple of years. Cost reductions [unintelligible]. I’m just curious, I would have thought the growth rate would be somewhat higher given the cyclically low ’13 that we’re looking at. Can you give me a little more insight into how we keep it in that 4% to 6% range?
Lynn Good: You know, Ali, we’re smiling at the question, because I think our questions have primarily been, “How could you possibly get to the high end of the range?” And you’re arguing why aren’t we higher, which we’re delighted to hear. You know, the 4% to 6% we think is a reasonable expectation. You’ve talked about commercial certainly contributing to that. And then we look at franchise electric and gas with the key drivers being rate base, our merger synergies, the continued focus on driving cost out of the business. So we have a high degree of confidence of hitting the 4% to 6% range, and as we see these fundamental pieces coming into place in ’13 with rate cases and other things, I think we’ll be able to give you a better sense of what ’14 and ’15 could look like as the year progresses.
Ali Agha - SunTrust : I understand, the largest, the regulated business dominates the percentage growth going back. Second question, on Ohio, just to be clear, Jim, on the strategic plan there, you had gone down the path of looking to potentially exit the [merchant] generation business. Then the capacity case obviously came up, and you want to play that out. Once that decision comes out, whether you get it or not, regardless, but once that decision is out, strategically, does that merchant portfolio still fit with Duke, or will it still make sense to focus more on the regulated and get out of that volatile business?
Jim Rogers : That’s a good question. I think we’re going to wait and see what the decision is from the Ohio commission, and then we’re going to make a decision with respect to those assets. I think it would be premature for me to comment on what we would do, but we believe we’re entitled to this capacity payment and if we don’t get it, I think we’ll have to make a tough decision about those assets going forward. But more to come on that. Our focus is on creating value and reducing the risk of our portfolio, and so we’ll make a decision consistent with that.
Ali Agha - SunTrust : Just to be clear on your thinking, if you do get the capacity payment, that does not necessarily mean that you’re going to still own those. You could still go down the divestiture path?
Lynn Good: You know, Ali, I think we’ll have to wait and see the conditions of the order from the commission. So at this point, we are under order to move the assets out of the utility to an affiliate by the end of 2014, and I think we’ll just await any clarity the commission would provide on that as part of the cost base capacity order.
Jim Rogers : I think the other dynamic that plays into this is also the movement in gas prices. This time last year, gas was about $1.87 in MMBTU. It average $3.48 in MMBTU last year, and now we’re in the $4.40 range. And some people are predicting we’ll be to $5 to $5.50 before year-end in gas prices. So that will have a significant impact on the value of the coal plants in the Midwest, as well as the gas plants as we look forward.
Operator: At this time, I’d like to turn the call back over to Mr. Currens for any additional or closing remarks.
Jim Rogers : This is Jim Rogers stepping in for Bill. I want to thank you all again for your interest and your investment in Duke Energy. We’re off to a strong start in 2013. I want to reemphasize the fact that we are on plan and we’re moving forward to hit the numbers this year. And we look forward to keeping you informed as the year goes on. Thank you all.